Operator: Good day, ladies and gentlemen, and welcome to Shenandoah Telecommunications’ First Quarter 2012 Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we’ll conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, this conference call maybe recorded. I would now like to turn the conference over to Ms. Adele Skolits. Ma’am, you may begin.
Adele M. Skolits: Good morning and thank you for joining us. The purpose of today’s call is to review Shentel’s results for the quarter ended March 31, 2012. Our results were announced in a press release distributed this morning and the presentation we’ll be reviewing is included on our website at www.shentel.com. Please note that a replay of the call will be made available later today. The details were set forth in the press release announcing this call. With us on the call today are Christopher French, our President and Chief Executive Officer and Earle MacKenzie, our Executive Vice President and Chief Operating Officer. After our prepared remarks, we will conduct a question-and-answer session. I’ll begin with Slide 2 of the presentation. While we don’t provide guidance with respect to specific future financial results, we caution that this call may contain forward-looking statements, which involve a number of known and unknown risks and uncertainties. These may cause our actual results to differ materially from these statements. Shentel provides a detailed discussion of various risk factors in our SEC filings, which you’re strongly encouraged to review. You’re cautioned not to place undue reliance on these forward-looking statements. Except as required by law, we undertake no obligation to publicly update or revise any forward-looking statement. Also, in an effort to provide useful information to investors, we note on Slide 3 that our comments today include non-GAAP financial measures. Details on these measures, including why we use them and reconciliations to the most comparable GAAP measures are included in our SEC filings. I’ll turn the call over to Chris now.
Christopher E. French: Thank you, Adele. We appreciate everyone joining us today. I’m pleased to report that we started the year with a great first quarter. We had significant improvement in our financial results led by customer and revenue growth in our Wireless and Cable segments. Installation and construction is now underway with our wireless network upgrade as we prepared to transition to 4G LTE as part of Sprint Nextel Network Vision project. Financial highlights are shown on slide 5. Net income was $4.5 million for the quarter, up 50% from the first quarter of 2011. Net income from continuing operations was up 42% to $4.4 million for the quarter. The earnings improvement was driven by an $8.4 million increase in revenues and was achieved in spite of recording $2 million of accelerated appreciation associated with the wireless network upgrades. Adjusted OIBDA was up $3.6 million over the first quarter of 2011, an increase of 17%. Moving to Slide 6, revenues reached $68.8 million, an increase of almost 14% over the first quarter of 2011. Wireless customer growth and RGU growth in our cable segment drove the revenue increase. We continued our streak of quarterly positive net-adds in wireless, ending the quarter with just over 365,000 postpaid and prepaid subscribers. Our Cable segment continued to add RGUs reaching almost to 139,600 at quarter end. Growth in average billings per customer particularly in the wireless segment also contributed significantly to the revenue growth. Specific Wireless segment highlights are shown on Slide 7. We again had positive net wireless additions in both our postpaid and prepaid services with the number of total customers up nearly 2.6% over the year-end 2011 number, and 14.8% higher than first quarter 2011. We added 2,064 net postpaid customers during the quarter reaching a total of 250,684, which is a year-over-year increase of 5.4%. Prepaid customers grew by 7,285 in the first quarter to a total of 114,384. Continued prepaid growth was helped by churn of just 3.65% this quarter relative to 4.5% for the first quarter of 2011. Customer and revenue growth contributed to an increase of operating income in the Wireless segment of $0.5 million over the first quarter of 2011. Cable segment highlights are shown on Slide 8. The upgrades of the cable systems acquired in 2010 are now 90% complete, and we expect the remaining markets to be completed this year. Our Cable segment total RGUs increased by 2,361 in the first quarter, an increase of 1.7% over the year-end 2011 total. We experienced a slight decrease in basic video RGUs, but had good increases in digital video, high0speed internet and voice services. I’ll now turn the call back to Adele to review the details of our financial results.
Adele M. Skolits: Thanks you, Chris. I’ll begin on Slide 10. Adjusted operating income before depreciation and amortization or OIBDA for Q1 ’12 was $25 million, or up $3.6 million from Q1 ’11. In order to better understand the forces driving this change, I’ve provided the OIBDA results by segment on Slide 11. Here you get a picture of how the segments results are contributing to the consolidated financial results. In a moment, I’ll go into the wireless and cable OIBDA changes in depth. What you see from this table is that adjusted wireless OIBDA has grown by 12%; cable results have improved as a result of the growth in penetration of homes passed, which Earl will review with you in a moment. And the improvement in wireline financial results was driven primarily by the sales of fiber facilities. On Slide 12, I’ve analyzed the changes in the wireless OIBDA results between Q1 ’11 and Q1 ’12. Postpaid revenues continue to grow as a result of the growth in its customer base and growth in data billing rates. The prepaid revenues grew by $2.6 million related primarily to growth in the prepaid customers. As a result of our success in acquiring prepaid customers, there is $700,000 of new prepaid cost in Q1 ’12. Acquiring prepaid customers involves additional expenses related to handset subsidies, commissions, marketing, and other sales related cost; and these costs grew by $800,000. While gross prepaid editions were lower, the growth in prepaid acquisition cost was driven by an increase in the amount of handset subsidy per gross add. Increases in postpaid handset subsidies of $1 million, primarily related to iPhone subsidies with the primary reason for postpaid acquisition cost rising by $1.7 million. Also advertising and commission expenses both included in this line items increased by $300,000 a piece. We continue to enhance our network to handle the increasing volume of data traffic and customer growth and these costs increased by $700,000 in Q1, ‘12. On slide 13, I’ve shown the components of the changes to adjusted table OIBDA. You can see in the first three bars, service revenues have grown by $1.9 million. This growth was led by growth in the popularity of our high speed data products, which outpaced the growth in video. Customer growth also drove growth of $300,000 in equipment revenues. As with wireless, the growth in customers comes with an immediate cost related to acquiring customers. These incremental costs were $800,000 in Q1, ‘12 over Q1, ‘11. Finally, effective April 1, 2012, we completed the conversion of certain of our subsidiaries from C corporations to LLCs. The conversion to LLCs was the first phase in the restructuring undertaken to reduce the administrative and compliance burden of our organizational structure. One of the benefits of the LLC conversions is that for tax purposes, the income and losses of the converted entities will pass through to the parent. This is significant in states where there is no opportunity to file consolidated return. We expect that this step will decrease our tax burden in those states and our effective tax rate will be approximately 40% instead of the 43%, we’ve previously reported. In early third quarter, we expect to complete the restructuring by merging certain of our subsidiaries out of existence by combining them with existing subsidiaries in the same segment, allowing for increased efficiency in our operations. At this time, I’ll turn the call over to Earle to go into greater depth on some of the operating factors driving our results.
Earle A. MacKenzie: Thank you, Adele. Good afternoon everyone. I’ll be starting on slide 15. We continued our positive trend on postpaid net adds with a good quarter and an increase of approximately 5.5% of the past 12 months brining us 250684 postpaid customers at March 31. Slide 16 provides the details of postpaid gross and net adds for the quarter compared to last year. We had 15,966 gross adds for the first quarter of 2012, an increase of 480 from 2011. We had net adds of 2,064, a decrease of 952 from 2011. We saw slower traffic in our stores during the first quarter with 50% of gross adds coming through Shentel-controlled channels compared to 55% in the first quarter of 2011. Churn for the first quarter at 1.86% was similar to the fourth quarter and up from 1.76% in the first quarter of 2011. As shown on slide 17, we continued to have a significant increase in postpaid gross billed revenue per user at $60.57 per month, an increase of $1.13 from the fourth quarter of 2011 and $4.52 from the first quarter of 2011. This increase was driven by a $5.02 increase in the data component during the past 12 months. As a result of the continuing to focus on selling higher end price plants and a $10 per month charge that Sprint initiated at the end of January 2011 on all new smartphone users. The 5.4% increase in customers and the higher average billed revenue resulted in a 14% increase in first quarter postpaid gross billed revenue to $45.3 million shown on slide 18. Bad debt increased by $400,000 and service discounts and credits by $500,000. As a percent of gross revenue, the credits remained constant at 10% and bad debt itched up from 2.8% to 3.3%. Over the past few years, we’ve seen our bad debt remained constant or decreased as a percentage of revenue. Net service revenue grew by a healthy 13% on the 5.4 increase in customers. On slide 20, I’ve provided some details on our iPhone sales and penetration. As I stated earlier, 20% of all new activations in the first quarter purchased an iPhone. 51% of all new iPhones in our service area were sold in Shentel-controlled channels. Including upgrades at March 31, 6.8% of the postpaid base had an iPhone, up from 3.6 at year-end with 40% owning an iPhone 4 and 60% having on iPhone 4S, as of March 31, 2012. Moving on to our prepaid results on slide 21, you see that we had a good first quarter with 7,285 net adds, a 19,400 gross adds. This was substantially less than the 13,287 net adds we had in the first quarter of last year and we were benefiting from pent-up demand. We ended the quarter with a 114,384 prepaid customers, a 43% increase over the first quarter of 2011. On Slide 22, you see that prepaid churn continued the downward trend in the first quarter, and average monthly prepaid gross billed revenue increased to $23.16. Moving on to our cable results on Slide 23. We added 2,361 net RGUs in the first quarter, and 8,899 or 7% during the past 12 months, bringing the total to 137,599. We had a 211 decrease in video RGUs in the first quarter. And are about same level we were a year ago. In the first quarter voice and high speed internet, RGUs grew by 737 and 1,835 respectively. In the past 12 month, we had a 50% increase in voice RGUs and a 16% increase in high-speed internet RGUs. As with other cable operators the primary new demand is for non-video services. At the end of the first quarter approximately 80% of our 76,130 customers don’t purchase a video service from us. This quarter for the first time we provided the number of average RGUs per customer. We continued to work to sell more to our existing base in addition to growing our customer base. Additionally this quarter, we are providing on slide 24, the average monthly revenue per RGU and per customer. You see that we had good increases in both over the past year. The average monthly revenue per RGU has increased to $1.26 to $37.74. And the average revenue per customers increased $7.27 or 10.6% to $76.08. The increases are due to the price increases, up-selling existing customers and selling higher revenue RGUs to new customers. Slide 25, shows the changes in the number of the homes passed and our penetration rate over the past year. You see that the basic video has fallen, but digital video, high-speed Internet and voice have increased. Although narrowing, we still have a significant gap between our current penetration levels and the industry average. So we expect continued quarterly growth although we do anticipate a dip in net ads in the second quarter, when our student customers will be departing for their summer break. Our Wireline results are shown on slide 26. We continued to have low access line losses for approximately 3% access line losses in the past 12 months. Our DSL penetration in our LEC area grew to 55%. As you recall, we are the cable operator in our LEC area, but we do not offer voice over Internet over the cable network. Letting our DSL gains against our access lines losses, total connections were 35,310 a 124 decrease from year-end 2011. On slide 27, we continue to target total capital expenditures in 2012 and a $138.4 million with $60 million for Network Vision. We finished the Virginia cable system upgrades in the first quarter. One of the two Suddenlink markets was completed in April and the other targeted for June. The final JetBroadband market, which passes approximately 10,000 homes in Southern West Virginia, is expected to be upgraded by the end of the year. That will complete our Cable upgrade program. Before I turn the presentation back over to Adele, I’d like to give you an update on our Network Vision project. Work has progressed nicely over the past few months. We still plan to complete 274 of our 510 sites this year. The upgrades of our wireless switch will be completed in the next few weeks. We’ve plans to install our first Network Vision base station later this month. We have approximately 100 sites scheduled to be completed by the end of July or early August. We still expect to launch initial 4G LTE service in the third quarter although we will be starting to sell LTE phones as soon as they are available. I’ll now turn it back over to Adele.
Adele M. Skolits: This concludes our prepared remarks. Operator, would you now review the instructions for posing a question?
Operator: Thank you. (Operator Instructions) And your first question comes from Ric Prentiss from Raymond James.
Richard Prentiss – Raymond James: Thanks, good afternoon.
Christopher E. French: Good afternoon.
Earle A. MacKenzie: Good afternoon.
Richard Prentiss – Raymond James: Hey, couple of questions for you if I could. First I appreciate all the detail on the iPhone information, pretty quick we got up to a lot of percentage of your base. How many of your iPhone sales were new to you guys versus just already existing customers?
Earle A. MacKenzie: Rick, it’s Earle. Approximately about 35%, 37% were per new activations and 65% to 63% that range were for upgrades.
Richard Prentiss – Raymond James: Okay. And speaking of upgrades, what percent of your base upgraded phones in the quarter?
Earle A. MacKenzie: I don’t have that number right here in front of me.
Richard Prentiss – Raymond James: Okay, we will circle back afterwards to get that from you. And then, as we appreciate the update on the vision project, so you are still looking for 274 cell sites this year. Where do you think the most serious gaining factors are doing, that’s a pretty major project obviously, to get that many time basically a half-year period. What are the most important gaining factors we should be aware of?
Earle A. MacKenzie: Well, I guess, there probably are three. One is, we’ve got to be able to get fiber or microwave to everyone of the sites. We are very optimistic to going to be able to do that, but we are relying on third parties for some of those sites. So those could put us at risk. Second is, we’ve had some very good success in talking with the various tower owners and working through negotiations on those, obviously if those negotiations continue to go well, that could have an impact. And third is just the coordination with Alcatel-Lucent, obviously they are doing a huge project Sprint at the same time. At this point, we do feel like we are getting the proper amount of attention, but that’s something we continue to monitor.
Richard Prentiss – Raymond James: Great. Thanks. I’ll come back in if there’s time.
Operator: Thank you. (Operator Instructions) Our next question comes from Greg Burns of Sidoti & Company.
Gregory Burns – Sidoti & Company, LLC.: Good afternoon. Thanks for taking the question. I just had a question around the Cable segment and I guess now that the upgrade is nearing completion. What’s your plans are in terms of sales and marketing or are you planning on anyway little more aggressive in the second half of the year selling our services, could you just give us an idea about what your plans are there and maybe what the impact will be on the margins.
Earle A. MacKenzie: Right. Greg, this is Earle. We will be launching kind of a branding campaign in the later part of this quarter. We had made the decision to sell but really not to emphasize and spend a lot of money on brand advertising until we just finished our upgrade because to put a new name and on the same service didn’t seem to make a lot of sense to us. And so although we’ve been doing sales, we’ve not been pushing the Shentel brand. And so we have a brand in campaign that is all but in the can at this point and we’ll be launching that in the next four to six weeks. Right on top of that we will be increasing the amount of our advertising and coming up now with the summer. We have more opportunity, more daylight for door-to-door sales, so we will be ramping up the amount of door-to-door to sales we will be doing. It will have some impact obviously on our cost, but you have to remember in most of our markets there are relatively limited number of outlets for advertising. So even though I say that we’re ramping up the advertising, it’s we’re not doing any kind of a national campaign or a huge broadcast television campaign. We’ve a few markets where broadcast television makes sense, but in most cases, it does not. And an awful lot of our branding will be event based and local media, which won’t require huge amounts of dollars, just some probably more man power than there are dollars in a lot of those programs that we’ll be rolling out.
Gregory Burns – Sidoti & Company, LLC.: Okay, thank you. And couple of questions about the prepaid business, you showed us, I guess, maybe what percentage of the basis Virgin Mobile versus Boost, and in terms of the churn is, are you doing anything specifically internally to show those improvements or is it just the market trend in general that’s seeing churn decline?
Christopher E. French: On the issue of breaking out between Virgin and Boost, we don’t provide that detail. We take our lead from Sprint, Sprint does not provide the detailed breakout between Virgin and Boost, and basically by contract, we’re not – we’re allowed to either. As far as churn, our churn rates are basically mirroring back, which Sprint is experiencing. And I think it’s a combination of a number of issues there, but one has been continuing to offer a more enhanced line up of phone, which I think tends to have customers happier, but longer with the phone that they have. And therefore you don’t see them jumping from one provider to the other. We’ve also seen a period of relative consistency in prepaid pricing. And so there hasn’t been a lot of incentive for a customer jump back and forth to get the best deal of the day.
Greg Burns – Sidoti & Company: Okay. And lastly Adele, on the restructuring besides the tax benefit is there any OpEx savings that go along with that?
Adele M. Skolits: I don’t think it would be material to your projection. Certainly, we expect some back office efficiencies. But in terms of the numbers you’d be dealing with, it wouldn’t be material.
Greg Burns – Sidoti & Company: Okay. Thank you.
Operator: Thank you. Our next question comes from Ric Prentiss from Raymond James.
Ric Prentiss – Raymond James: Okay, I try to come at the end of the queue, I guess, I’m again. For Metropolis, the ARPU increased has continued to be impressive on the first day size, how much of your base is already on that extra $10 bolt-on, just trying to think how much more upside you have rest of this year?
Christopher E. French: We have approximately 100,000 customers who – of our 250,000 who are paying that $10 bolt-on, so over time we expect there is still some upside there.
Adele M. Skolits: That happens as they come in and ask for an upgrade to their phone and have to sign up for an additional contract period, and as a result they end-up paying that incremental $10.
Christopher E. French: You have to remember that prior to the January 2011, only customers who had a 4G phone were paying that $10, and so we have a lot of customers who had a smartphone who were not playing that. So as we see the need to upgrade their smartphone over the next year or two, they will migrate to the – adding that $10. And as I’ve said in the previous calls, it just is not an issue, we’ve not had virtually any customers walk out, but no, I’m not going to buy a smartphone because of the $10 smartphone surcharge.
Ric Prentiss – Raymond James: The EBITDA production on the wireless side was also impressive, I think, I’d go back long ways to find a $18 million EBITDA number on the wireless side, what are your thoughts going forward on EIBTDA, and I assume Vision costs will start pressuring on that at some point, but just trying to think of what the curve looks like given the good results in 1Q?
Adele M. Skolits: The curve looks good with the exception of the incremental operating costs for Network Vision, so you’ll recall on the February 6 call, we talk about not just the accelerated depreciation, but we have some significant cost installation and fiber and microwave costs related to the backhaul; and you can expect that we – we expect at this point that we will spend that money, but the timing is later in the year. So those costs, you expect us – you should expect us to incur in the latter half of this year.
Ric Prentiss – Raymond James: I’m trying to – remember if you had quantified it back in February as far as what that Vision OpEx impact might be?
Adele M. Skolits: We did, in fact we had non-recurring installation fees in 2012 of $1 million, we had the redundancy, you may recall that we described that we assumed that we would have a couple of months of simultaneously heading two sets of backhaul to the same site, so the old copper based T1 backhaul simultaneous with the fiber and microwave backhaul, that’s another $1.6 million. And then we have to expand capacity as well, and that’s another $900,000. And all of that, it has yet to hit as of March 31.
Ric Prentiss – Raymond James: That helps, been a long earnings seasons, so I apologize for not remembering that.
Adele M. Skolits: I understand, and that should be available on our website, Ric if you need it, or I could tune it off too.
Ric Prentiss – Raymond James: Okay. And then Earle, I think in your comments you were talking a little bit about the debt, also those service credit seems to have gone up year-over-year, can you talk just little bit about what’s happening on the bad debt line and the service credits?
Earle A. MacKenzie: On the service credits, it’s gone up, but has remained pretty much constant over a number of quarters, that’s just about 10%. And you’ve got to remember that, the service credits also are any kind of promotion credits that are given. So, it’s not all service, it’s any kind credit that the customer receives. And we ran a short, but very successful promotion right at the end of the year where we provided the customer rather than discounting the phone or discounting the connection fee, we gave them two months of free service, figuring that, that may be attractive when they started giving all of their Christmas bills, and it was a very successful promotion for us. But those – basically all those two months that we have, and you remember we had a very good fourth quarter, those hit in the first quarter of this year. On bad debt, I really at this point, we don’t have enough of a trend line to see if this is any kind of a trend or if really just a blip. We have kept our credit pretty tight through the entire downturn in the economy. We have seen primarily either level or decreasing it has ticked up a little bit in this quarter, but certainly not enough for us to say that, that’s what we would expect for the rest of the year. So yeah, we’re monitoring it closely. Because of the fact that we can set our own credit policy, if we do believe that there is some kind of a shift we can tighten up credit a little bit, but at this point we don’t see a need to do that.
Ric Prentiss – Raymond James: How about within churn, involuntary versus voluntary. What are you seeing maybe on that line?
Earle A. MacKenzie: It’s remaining pretty much constant as far as the ratio. The little bit of an uptick in churn really was in both categories. It wasn’t really one over the other.
Ric Prentiss – Raymond James: Sprint had mentioned they’re going to be launching WiMAX offer on the Virgin and boost – coming up I guess this quarter or second quarter, do you have plans to [offset] and kind of what’s the update on bringing that into your – as well, and is the Clearwire network even in a lot of your areas?
Earle A. MacKenzie: It’s not in a lot of our areas. The only place we’ll really be able to offer that is in New York and Harrisburg, Pennsylvania areas. And that is the outer, outer suburbs of the Philadelphia system. So I wouldn’t say that it is a particularly robust WiMAX network there, I think it really will depend on the user, if you have a user who is primarily in downtown, Harrisburg, they could take advantage of it, and we will be basically mirroring what Sprint does, at this point to be determined as far as whether it’s going to have a significant impact on our gross adds and net adds?
Adele M. Skolits: In fact they’re two most significantly densely populated areas of our network.
Ric Prentiss – Raymond James: All right.
Earle A. MacKenzie: So that mean, it could have some impact, but just at this point it’s a little difficult to know.
Ric Prentiss – Raymond James: Makes sense. Thanks for the extra information.
Adele M. Skolits: You’re quite welcome.
Operator: Thank you. I’m showing no further questions at this time.
Adele M. Skolits: Very good. Thank you for joining us; and if there are things that you would like to hear about on future calls, please let me know. My contact information was included on the press release announcing this call. Have a good weekend.
Operator: Thank you. And ladies and gentlemen, thank you for participating in today’s conference. This concludes our program, you may all disconnect and have a wonderful day.